Operator: Thank you for standing by, and welcome to Woolworths Group F2025 Q3 Sales Announcement. All participants are in a listen-only mode. There will be a presentation followed by a question-and-answer session. [Operator Instructions] I would now like to hand the conference over to Ms. Amanda Bardwell, Managing Director and CEO of Woolworths Group. Please go ahead.
Amanda Bardwell: Good morning, everyone. Thank you for joining us today for Woolworths Group’s third quarter sales results for the 2025 financial year. I would like to start by acknowledging the Traditional Custodians of the land on which we meet today, Darug Country, and I pay my respects to Elders past and present. Joining me this morning are Stephen Harrison, our Chief Financial Officer; Annette Karantoni, our new Managing Director of Woolworths Retail; Paul Harker, Chief Commercial Officer, Australian Food; Sally Copland in her capacity as Managing Director of Group eCommerceX; Pieter de Wet, Interim Managing Director of Woolworths New Zealand; Von Ingram, Managing Director of W Living; and Dan Hake, Managing Director of BIG W. The Group’s performance in the quarter reflects a continuation of trends from the first seven weeks with solid sales growth within the context of a challenging environment. Weather events in the quarter caused some isolated supply chain disruptions for our stores and we temporarily closed and paused e-commerce services for team and customer safety. However, we worked hard to support affected communities across Queensland and Northern New South Wales. This included the donation of groceries and essential items to evacuation centers as well as airlifting essential items to Ingham and other communities isolated by floodwaters in partnership with the federal government and the Australian Defence Force. These events have led to additional costs of $20 million to $25 million related to higher stock loss, incremental transportation costs and damage to the Harvey Bay store. I would like to recognize the incredible group-wide efforts of our team who supported their communities under difficult circumstances with many of them also personally impacted. Customer metrics remained largely stable in the quarter with Group Voice of Customer NPS of 44 flat on quarter two and up 1-point compared to the prior year. While it was pleasing to see a stabilization we know we have more to do to provide consistently good shopping experiences for our customers and deliver the value they expect from us. Now, turning to performance by business. In Australian Food, total sales increased 3.6% to $13 billion, supported by strong customer trade events and solid e-commerce growth. Sales were predominantly driven by transaction growth, with items per basket up modestly. Woolworths Food Retail total sales increased 3.4%, with eCommerce momentum remaining strong at 16.3%, albeit at a slightly lower rate, largely due to the impact of weather events. The change in timing of Easter modestly impacted growth rates in the quarter, with Woolworths Food Retail Easter adjusted sales growth of 3.6%. Woolworths Supermarkets store originated sales increased 1.4% compared to the prior year and benefited from temporarily disrupted eCommerce services in the period, which saw more customers shop in-store, particularly in Queensland. Customers remained value conscious and continued across shops, with customers continuing to look for bigger savings through deeper promotions and own brand. Woolworths Food Company own brand and exclusive brand sales continued to outperform in the quarter, growing 5.7%, with particularly strong growth in pantry essentials, frozen foods, snacking and household care. Average prices excluding tobacco in quarter three were down 0.5%, marking the fifth quarter of lower prices for customers driven by distillation in Long Life categories such as Pantry, Snacking, Freezer and Everyday Needs. Fruit & Vegetable inflation in the quarter was due to cycling a period of abundant supply in the prior year and meat prices continued to be impacted by rising costs. Same Day and On Demand propositions fulfilled by our store network continued to resonate strongly with 31% of eCommerce orders fulfilled within 2 hours of order placement, and 55% of orders fulfilled on the same day. Cartology revenue grew by 29.1%, driven by the successful execution of the Minecraft Cubeez collectibles program across Australia and New Zealand Supermarkets and BIG W. Rewards & Services revenue increased 10.4% and member engagement remained strong with more than 600,000 new active rewards members compared to the prior year. In Australian B2B, sales increased by 6.3%, driven by solid momentum in PFD, export meat and growth in the Group’s third-party supply chain business. Sales momentum in New Zealand continued to improve in the quarter, with total sales increasing 4.8% or 4.4% on an Easter-adjusted basis. Sales growth was also supported by the successful Minecraft Cubeez collectible program and strong eCommerce growth. We’re continuing to see progress from our transportation initiative and transformation initiative, which is reflected in our improved customer scores across all metrics, particularly in key focus areas of Fruits & Vegetables VOC and availability VOC. eCommerce sales grew by 24.3% and penetration reached 14.8% in the quarter, supported by the expansion of convenient same-day propositions including Delivery Now and MILKRUO. Our On Demand services are resonating strongly with 23% of eCommerce orders now fulfilled within 2 hours and 89% of orders fulfilled within 24 hours. During the quarter, we marked the 1-year anniversary of the Everyday Rewards program in New Zealand and we’re pleased with the engagement we’re seeing with our customers, with 2.1 million active members at the end of the quarter. Over two-thirds of our stores have now been rebranded to Woolworths and we’re on track to complete the rebranding of the entire network by the end of calendar 2025. In W Living, sales decreased 2.7% in quarter three, largely reflecting the timing of Easter, impacting BIG W sales in the quarter and the impact of divestment of 41 Petstock retail stores and 25 vet clinics, which were still owned in the prior year. In BIG W, sales trends improved in the quarter with sales increasing 1.9% on an Easter-adjusted basis and item growth in Clothing, Home and Play. Clothing sales were driven by Spring/Summer clearance activity with a slower start to Autumn/Winter, which has continued into April. This has impacted BIG W’s profit outlook, with the loss before interest and tax for H2 now expected to be approximately $70 million. Excluding the impact of divested stores, Petstock sales increased 4.5% driven by item growth, strong own brand performance and the opening of three net new stores in the quarter. Woolworths MarketPlus’ GMV increased 24.6% compared to the prior year, driven by BIG W market, partially offset by decline in MyDeal GMV, with solid item and transaction growth driven by strong growth in returning customers. With only 2 months until the end of the financial year, we remain focused on the priorities set out in February. This includes ensuring we’re getting it right for our customers by improving our retail fundamentals across key areas of value, availability and range, simplifying the way we work to deliver greater efficiencies and unlocking the full potential of the group for our shareholders. We’re making progress in these areas and will provide a more detailed update at our full year results in August. We have very strong foundations in place and need to continue to build on our strengths. I remain confident in our plans and optimistic about the opportunities ahead of us. I’ll now turn the call over to the operator for questions. To give everyone a chance, can I please ask that you limit it to one question per person and then rejoin the queue with any follow-up questions. Thank you.
Operator: Thank you. [Operator Instructions] Your first question comes from Michael Simotas with Jefferies. Please go ahead.
Michael Simotas: Good morning. So, clearly, the Minecraft collectibles campaign was very successful. You’ve referenced it a couple of times. We can see it in the Cartology income as well. Can you give us a little bit of color on how things tracked once the program came to an end in mid-March and not expecting a number, but just some comments on how you traded through Easter, noting that there does seem to be a lot of confectionery left over this year?
Amanda Bardwell: Yes. Thanks, Michael, for that question. I think important when we’re looking at the quarter just to recognize that we had in the early part of this quarter for Australian Food, the early recovery out of the industrial action. We then had back-to-school in which the QBs program was part of that and, certainly, we were very pleased with the momentum that that built throughout that period. And then, as we closed the quarter, again, we’re pleased with the consistent momentum that we’re seeing across the business. In terms of your question as it relates to so far trading in quarter three, I’d just say, it’s actually really hard for us to be able to talk to the like for likes, because of course it’s not comparable in terms of Easter, the school holidays are also out of alignment. But broadly speaking, it’s been relatively consistent momentum. What I would say is that across quarter three, we’re pleased with the overall trade performance that we saw in the business and that’s not just about the QB’s collectible program, but I’d say there’s a number of events plus just the consistent good value that we had on offer across our Woolworths stores that resonated with customers. And so, it’s solid momentum. We’ve still got a lot of work to do as you know, but it’s something for us to build on.
Michael Simotas: Thanks very much.
Operator: Your next question comes from Tom Kierath with Barrenjoey. Please go ahead.
Tom Kierath: Good morning, guys. I just want to ask on the Aussie Food business, where you’re at with the stock availability. I saw there were some comments on New Zealand and BIG W there that that had improved, but I couldn’t see any kind of reference to it in the Aussie business. I can say that the store controllable voice of customer hasn’t really improved. But is that an area for improvement, where you’re kind of running at now with availability of stock?
Amanda Bardwell: Yeah. Thanks, Tom, for the question. Again, it’s a difficult quarter, because we need to just take into account. We had the recovery of the industrial action. We also had, of course, all of the weather impacts as well. But if you take that aside, we’re actually pleased when we look at the year-on-year improvement, which sits at about 100 basis points improvement in terms of our outbound stock level. So whilst we don’t call it out specifically, it’s certainly the case that we’re seeing a level of consistency around our availability and then something for us to be able to build upon. So, again, more work for us to do as you know, particularly, in those lines where we’re focused on key special, our own brand products, eggs continues to be a well-documented challenge as well. But, overall, again, I think it’s a consistent result, certainly up on last year and more for us to do.
Tom Kierath: Great. Thank you.
Operator: Your next question comes from Adrian Lemme with Citi. Please go ahead.
Adrian Lemme: Good morning, Amanda and team. I was interested in online and thanks for pointing out the impact of the weather events. And thank you also for giving the splits on delivery versus click and collect growth now. So, if I look at delivery growth of 13.8% in the quarter, on my estimates, it looks to be down about 300 basis points from the second quarter growth rate. While if you look at delivery for Coles, they’ve accelerated, and that’s been helped by the CFCs. So I was just wondering if you can see in your Everyday Rewards data, if you’re losing, in particular, delivery customers to Coles in those New South Wales and Victorian areas that are being serviced now by their CFCs? And if so, how are you addressing this, please?
Amanda Bardwell: Thanks for the question, Adrian. Look, overall, we’re pleased with the momentum that we’re seeing in eCommerce. Important as you say just to take into account that we did close our eCommerce services in Queensland for a period of at least 5 days and that was really about us just making sure that, of course, our team and customers were kept safe during that period. But it was also about ensuring that when customers did place an order that they were getting the right level of service in terms of the availability of the products in the basket. And so, we wanted to be able to meet those customer expectations. When we look at your question around what’s happening in New South Wales and Victoria, what we can see is in certain suburbs and areas we’re continuing to track obviously our share. And whilst we’re pleased overall with our performance in eCommerce, you can see in some particular suburbs a little bit of impact from competitor activity, nothing that we hadn’t expected. And in terms of the stickiness of our customers overall, we’re very pleased with the momentum. When it comes to Delivery, I think that might just be a reflection of, we’ve called this out a few times as you know, we’re just seeing such a large increase in customer demand for On Demand services. And so, our order volumes and transaction volumes are going incredibly strongly in that space. And so, there is just a slight difference there when we’re looking at the makeup of the delivery mix, but nothing that we’d be concerned about. And as you know, we’re equally delighted if customers to come to our stores and do a pickup order, because that’s actually even better economics for us as well.
Adrian Lemme: Thanks very much.
Operator: Your next question comes from Shaun Cousins with UBS. Please go ahead.
Shaun Cousins: Thanks. Good morning. Just a question regarding BIG W, the second half EBIT loss of $70 million that’s kind of getting back to where you were in the late 2010s when you were losing circa, $70 million to over $100 million in the second half. At that time, the company started to think about a plan to cut store numbers to get down to sort of circa 150 stores and there was also sort of announcements around DC savings there. I’m just curious what’s driving the $70 million loss? Is it just markdowns? Or is it other things? And more broadly, what are the challenges that BIG W is facing? Is it your store network locations and store size? Is it the offer? And what’s the plan to get this business better, because it seems to be a source of ongoing sort of disappointment?
Amanda Bardwell: Yeah, thanks for that question, Shaun. I think that’s right. It is a disappointing result. We’re disappointed. I know the team who’re working incredibly hard are also equally disappointed and it’s not an acceptable position for us to have. I do think there are a whole series of factors here that drives that result. So, if I just start with your first question and I will hand to Dan to be able to provide a little bit more color on this as well. But, if we just take the $70 million, the majority of that really is reflecting the underperformance in the clothing business in particular. We called out that Spring/Summer was unfortunately a late arrival last year. We didn’t see the level of stock flow in the way that we would have liked. And so that has resulted and continued into quarter three, higher level of markdown and clearance. And as we’ve come into then the autumn period, Clothing range equally has not been selling quite to our expectations. And so, we have seen some additional levels of markdown there. There’s a little bit of stock loss in that result as well, but they really are the primary drivers of the update that we’ve provided today. So then, if I just come back and talk about BIG W before I hand to Dan for any further color. Overall BIG W, when you look at it from a customer perspective, the brand resonates. So, it’s a top 10 most trusted brand in Australia. The voice of customer scores that we see through BIG W continue to be very strong. And so, it is a brand that resonates. We’ve got an ongoing transformation that is underway there. And we’ve got some areas of the business in particular areas like the Home category, where the team has put in place a transformation around the range, the quality, the price points that are on offer and we’re seeing improving and really encouraging momentum there. The health and beauty range in BIG W also resonating well. It is really about clothing that’s in particular our biggest concern and our biggest area of focus on the go forward. When you think about the store network, which was your other question. Overall, the store network when we look at it on a store by store performance basis, virtually all the stores are cash positive. So we don’t – we’re not in that sort of a conversation at the moment. We want to be focused on how we continue to transform the business. Now, Dan, I’ll probably answer a lot of that question for Shaun. Is there anything else that you would like to add there?
Dan Hake: Look, maybe just to say that, if you look, our conviction is that to be successful in this market, we’ve got to be a value led retailer and we’ve got to be there on opening price point in our own brand products. And in the middle positioning, while that may work occasionally on a year where you’ve got a lot of trade up in the market, in the long run, it’s not the right place to be. As we recess the P&L to be a slightly lower ASP, more own brand, that there’s a lot of pain in that transition. But I would say that if you look beneath the overall sales to specific areas, there’s actually lots of positive momentum in pockets. So, Amanda, you mentioned the beauty ranges. I think Home is another critical call out where we’ve reset, we’ve simplified the range, we’ve gone to more own brand and we’re really seeing sales GP units all trend in the right direction. Toys is another good example. And so, overall, that gives us a lot of confidence. We just have to do it in more places and continue down that track. And then, last but not least, and you were talking about Clothing, Amanda. So Clothing has probably been the business where so, A, we definitely didn’t get it right this year. We’ve had the most to learn. There’s also some initiatives going on that gives us lot of confidence. We’re just in the process of scaling RFID, for example, right, and things that will increase availability and will increase sales in those areas. So as you said, Amanda, it’s a big transformation. We want to be there for customers on value and on product, and we’ll be undeterred in executing to that point.
Shaun Cousins: Thanks, Dan. Thanks, Amanda.
Operator: Your next question comes from Lisa Deng with GS. Please go ahead. Lisa Deng, your line is now live. Please proceed with your question. Your next question comes from David Errington with Bank of America. Please go ahead.
David Errington: Hey, Amanda. Look, I don’t want to be pedantic, and I’m sorry if I come across that way. But just to elaborate on Michael Simotas’ question on collectibles and the impact that it had on sales. Last year, this time last year, I can remember challenging Brad, because it was a pretty tough quarter last year, the third quarter. And Brad actually said that the calculation that Woolworths made, it’s actually in the transcripts, but it’s actually that you calculated that the fact that Woolworths didn’t have a collectibles and Coles did was the difference between 2% to 2.5% of sales. Now this year, you had a collectible, a very good one with Minecraft. They had Harry Potter, which wasn’t that flash, but last year, they had Pokemon. So Michael’s question actually was, I think it was, what was the impact to sales, the fact that you had a very good collectibles this year and you didn’t have one last year? So that gives more of a like for like. Can you give us that, because Brad was very, very, very definitive last year? He actually said the difference in sales was calculated to be 2% to 2.5%. Would you be able to help us that? And so, what was the impact to sales, the fact that you had your collectibles this year and you didn’t have one last year?
Amanda Bardwell: Yeah. Thanks, David, for that additional question. Look, I can’t really comment on Brad’s definitive answer there. I think he may have been talking generally. There’s no question that collectibles play an important role in encouraging customers to shop with us, encouraging some customers to switch and spend more and they bring those moments of joy as well for many of our customers and young families, which is really important, and our teams get behind them and love running them as an event. I don’t think it is certainly anything like the numbers you just quoted there. They’re well and truly less than half of that, if not even lower. What I was talking to in Michael’s question was just to say, yes, we did call out collectibles. Yes, it was one of the highlights across the quarter. But, I wouldn’t be suggesting that all of the momentum or even the quantum you just shared there is a result of the collectibles program. I think it is a result of slightly improving momentum across availability, our overall execution, trade programs that go beyond just the collectible program with some very successful programs when it comes to big brand sales. Personal care had some very successful category promotions as well. In Everyday Rewards equally there was some successful promotions there. What we are seeing is customers, as you know, continue to seek value and to really jump into those trade events and we’re continuing to improve every day our execution of those. So, look, sorry, I can’t provide the specifics there. I would just say, in this quarter we’ve just had, it’s nowhere near that in terms of impact in terms of our sales. We’re pleased with the event. But, yeah, I couldn’t comment further on that, David. Thank you.
David Errington: No, that helps. Thank you.
Stephen Harrison: Well, it’s small build strategy. I think just some further context on last year’s comments. The reference may also affect in that we had a collectible the previous year and no collectible this time around – sorry, in the third quarter of FY 2024. And so that may give you some further color to Brad’s comments last year.
David Errington: Yeah, thank you. Brad was just very definitive, that’s all. And he did call that 2% to 2.5%, and it’s there. And thanks for the color, but it just confused me a little bit. Yeah. But thanks for clearing it up. Really appreciate it.
Amanda Bardwell: Thank you.
Operator: Your next question comes from Caleb Wheatley with Macquarie. Please go ahead.
Caleb Wheatley: Good morning, Amanda and Dan. My question was just on inflation versus volumes in Aussie Supermarkets. You’ve obviously highlighted that focus on value again and on the long life side, but the comp sales really being driven by volumes at the moment given lack of inflation. Can you just please talk through how you’re thinking about that price versus volume equation? And any commentary on the impact of increased promotional uptake is having on that, please?
Amanda Bardwell: Yeah. Thank you for the question. So, what we’re seeing when it comes to inflation is really deflation to flat in our grocery categories. As you know, a little bit of inflation coming through in fresh. So it’s almost the reverse of what we were talking about a little while ago. That is very much aligned to also seeing increasing transactions and units, particularly driven by promotional activity. And so that pattern that we’ve talked about before, customers seeking value, looking for those deeper discounts, particularly in the 40% plus range, driving a lot of that activation. What I’m pleased about is the fact that we’re executing a little bit better on that front and our performance is flowing through then into increasing transactions as well and units. So, look, I think it’s one we continue to watch. We know that we need to be incredibly strong in the center of store when it comes to groceries, pantries, snacking and the like. And we’ve been pleased with the momentum that we’re seeing there. There is an element of deflation as a result, overall, we’ve seen a stabilization also broadly speaking about value scores. And so that’s an important part of that equation.
Caleb Wheatley: Yeah. Great. Thank you.
Operator: The next question comes from Ben Gilbert with Jarden. Please go ahead.
Ben Gilbert: Just appreciate, Amanda, for sales call. But just I mentioned just any update around the progress on the cost out. It sounds like you’ve obviously made some pretty big moves already across the group. Just interested in, one, just how that’s progressing confidence in getting that $400 million run rate by the end of the year? And then, secondly, just how you’re seeing some of your internal voice of staff scores in terms of any potential impacts from an operating standpoint?
Amanda Bardwell: Yeah. Thanks, Ben, for that question. So look, on the $400 million we are, as we called out, on track to deliver that. And the teams have been putting in a lot of work across the business, keeping in mind this is about taking $400 million out of our above store areas across the entire business. And we’re being very conscious of the way in which we do that. That is a combination of us really taking a look at how we make it easier and simpler for our teams to do their best work and serve customers. And so that has resulted in a number of operating model changes. And then, we’re also focused on some of those big cost lines as well. But now we’re very confident that we’ll be on track to deliver that. As you would expect, I mean, it’s a good question on voice of team. There has been some impact on voice of team overall. I’d firstly say that we’re actually very pleased with the voice of team scores that we’re seeing in our stores. So the momentum there is very strong and improving. And I think just given what a busy and challenging quarter it has been yet again, we’re really pleased to see our store teams and the leaders that are supporting our teams in stores continue to be able to create an environment that our teams appreciate. When it comes to our support teams, we’ve announced a number of changes. We’ve announced that we are looking for people to be back in the office 3 days a week. And so that’s a change that many of our teams are working through. I’m absolutely clear that that will help improve team experience and speed of decision making, and will help us be a better business and actually create a better environment for our team. But that’s adjustment that our teams are working through. And then, of course, whenever you announce some changes as we have, there’s a period where we need to go through change and settlement. But we’re on track and certainly we’re focused as I called out in the earlier calls this morning on strategies for the go forward.
Ben Gilbert: Fantastic. Thank you.
Operator: Your next question comes from Craig Woolford with MST Marquee. Please go ahead.
Craig Woolford: Good morning, Amanda. I just wanted to ask a question about BIG W. You all talked at the half year about assessing the shape of your portfolio, making sure each business has a satisfactory return on funds employed. Given the increased losses of BIG W and soft sales trends that it’s still experiencing. What is the process that you’re going through in assessing the future of BIG W?
Amanda Bardwell: Yeah. Thanks, Craig. And as we said at the half, we’re assessing every business in the Group. It’s also the time of year where we’re looking at our strategies for the next 3 years and ahead. And so, it is the perfect time alongside that to take a really rigorous look at all of our businesses and that is what we’re doing with, I would say both rigor, but also pace. And so, all of our businesses including BIG W are obviously part of that review. I’ve already talked, I think to the fact that we’re disappointed collectively as a team with the results. We don’t think that they are acceptable or meet our shareholders’ expectations. We are absolutely aware of that and are working incredibly hard to improve the performance of the business. It is a much longer cycle business than some of our food businesses as well. And so, I can appreciate that certainly our shareholders and investors would be frustrated with where we’re currently at. And I can only just say from a BIG W perspective, I know the team are working hard to improve it. We’ll come back at the full year, Craig, and provide a further update on where we’re up to as it relates to the portfolio review right across the Woolworths Group.
Craig Woolford: Okay. Thanks, Amanda.
Amanda Bardwell: Thanks.
Operator: Your next question comes from Bryan Raymond with JPMorgan. Please go ahead.
Bryan Raymond: Good morning, Amanda and team. Just on the food business again, just the impact to that – or that, let’s call it, maybe the hangover from the industrial action into the 3Q numbers. I just want to understand how that progressed through the period and how we should think about it into the fourth quarter. Did Victoria, in particular, lag other states meaningfully? Is there a way we could adjust for that in the like for like number, for example, to get a baseline to think about the go forward, given what you’re cycling is quite a low number and you’re in line with Coles this period? Just keen to understand that profile a bit better. Thanks.
Amanda Bardwell: Yeah. Thanks, Bryan. What I would say is it steadily improved across quarter as we had planned and worked to make sure that that was the case. And so, as we came out of January, our numbers improved into February and then improved again in Victoria across March. We’re at the point as a business of saying, we’re no longer calling out the impacts of industrial action. We can see that in some of our key states, of course, they’re highly, highly competitive markets for us. But really, we’ve reached a point now where you’d say, I wouldn’t be factoring in the impact of industrial action on the go forward. So hopefully that helps. I know I haven’t given you specific numbers there, but it’s improved and we’re no longer factoring that in.
Bryan Raymond: Okay. Great. Thank you.
Operator: The next question comes from Phil Kimber with E&P Capital. Please go ahead.
Phillip Kimber: Hi. My question was just on Page 3 of the release, you provide some digital metrics for Food and Everyday digital platforms and the group digital platforms. And if I look at the average weekly traffic growth and it’s versus PCP, it’s really slowed. So they’ve been running around that sort of 20% for both and now it’s in that 3% to 4% range. Is there anything specific to call out there why your web traffic would have slowed so much?
Amanda Bardwell: Yeah. Thanks for that question, Phil. And you are right. Firstly, I just note that the volume of traffic that we have is huge when you look at those numbers, 19 million a week across Food and Everyday and $28 million thereabout for the group itself. What we did do in this quarter is make some adjustments overall to our marketing plans and activation. And I’ve spoken already about the fact that we had a very strong trade and customer plan in our food business in particular with collectibles, with a number of big trade events. And so, we did make some adjustments to the way in which we balance those investments and that has had some impact on traffic. If we look at the traffic to our food business in particular, so I’m talking about our green app, that’s been very, very strong traffic almost 20% increase there or thereabouts. And so, it really is about everyday rewards and the fact that we did a lot of other promotional activity across food. And, therefore, we didn’t have quite as much in Everyday Rewards and, therefore, you see the traffic slightly lower than you’ve seen in previous quarters.
Phillip Kimber: Okay. Thanks. So that’s sort of temporary by the sound of it.
Amanda Bardwell: Yeah, I think, we should expect to see that we’ll continue to rebalance our overall marketing investments and decisions to just make sure that we’ve got the right level of customer and member engagement for the returns that we’re seeking as well.
Phillip Kimber: Right. Thank you.
Operator: Your next question comes from Richard Barwick with CLSA. Please go ahead.
Richard Barwick: Hi, Amanda. I’m just going to talk about, I guess, the voice of the customer as it pertains to price and value because obviously your underlying inflation, we actually got deflation of 1.2%. So are you seeing any recognition of that from customers in terms of what they’re telling you? And I’d be also interested to hear you, if you could – when you answer that, I think it’s interesting if you could sort of give a bit of color around, I would note since the ACCC report was released, the rhetoric from politicians outside of the first day or two after the report, it seems to have died off a little bit. So this sort of supermarket bashing even though we’ve been through the election period has died away. And so, I wonder if that also may be contributing to more positive outcome in the way that the shoppers are viewing you or Woolworths and pricing?
Amanda Bardwell: Yeah, thanks for that question. Voice of Customers is something that we always start with. And so, I’d simply say, we are really encouraged by the stability that we’re seeing in the Voice of Customers scores overall. And that relates to a number of different key metrics that we measure. To your point, what we did see this quarter, which again we take some encouragement from is when we have seen these large media announcements and the like, we haven’t seen quite the same dip that we did in previous periods in terms of the Voice of Customer scores. And so, whilst it always does take a little bit of the edge off some of the metrics, we haven’t seen it at quite the same degree as we’ve seen it across certainly calendar 2024. When it comes to value for money, I’ll firstly say, it is very clear that customers really are continuing to seek value and they are under pressure when it comes to their household budget. That is not changing and we’re seeing that in terms of every different way that we measure value seeking behavior. And so, we’re very focused on making sure that we continue to provide that value and improve that experience for customers. We are seeing when it comes to value for money, it’s being relatively stable when we’re looking at metric overall. We’re very mindful as we’ve talked about before. Overall, our prices are competitive against our main competitors, but there is this ongoing work we need to do around price trust and the perception of relative value. So, look, we’re encouraged by Voice of Team and Voice of Customer scores, something for us to be able to build on and we’re looking to improve that over the quarter ahead.
Richard Barwick: Okay. So just to make sure, I’ve got that right. So even though you obviously have invested in price, because you’re demonstrating that deflation, you’re not necessarily seeing any strong recovery in the Voice of the Customer yet. So you feel like you’re on the right path that’s going to take some time to rebuild that trust?
Amanda Bardwell: I think that’s a very good summary. And then in any case study that we’ve looked at, including our own from prior cycles, it will take time to rebuild customer trust. We know that and that’s why we’re focused on making sure that we are consistently focused on creating great value, really consistently improving the experience. But we know as a team that is going to take time for us to be able to genuinely shift those perceptions.
Richard Barwick: Okay. All right. That’s great. Very clear. Thanks, Amanda.
Operator: Your next question comes from Lisa Deng with GS. Please go ahead.
Lisa Deng: Hi. Sorry for dropping off earlier. I have a follow-up question on eCom for Foods. We obviously saw it slow down a little bit in the third quarter. You’ve explained why, but potentially at better economics. The fourth quarter, we’re starting to see the CFC for Auburn go live. Can you kind of remind me of what potential capacity or strategies, category push SKU that we should be expecting to come online? And then, can I also confirm that there is no additional implementation or doubling cost that’s above what’s already been guided for the $70 million in second half on supply chain commissioning?
Amanda Bardwell: Yeah. Thanks, Lisa, for that question. First, I might just start with your last comment. No, there’s no further additional than what we’ve already shared on supply chain of that $70 million. So that remains consistent. When it comes to eCommerce and Sally, I might show to you, I know we’re very excited about the launch of the Auburn CFC. Maybe just a few elements that I would just call out and then I’ll throw Sally to you to just provide a little bit more color. The Western Sydney catchment is a huge catchment for us already and we’ve built a fulfillment center there, because of the demand that we currently have and that we’re forecasting for the future. And so, the Auburn facility will provide 50,000 orders a week out of that facility when it’s at full capacity. I’m particularly excited about the fact that the facility is being built in a very multipurpose way. So, it does enable us to be able to provide in next day delivery, but it also provides on demand services from that facility. So that speed of under 2 hours, we will be able to serve out of it. But also we’ve got a 16 Bay pickup facility attached to the side of it. And in our Western Sydney areas, a lot of customers’ love coming to do the online order, but then actually picking it up themselves. So to be able to provide that is really exciting. Sally, I might just throw to you to talk a little bit more SKU count and if there’s any other color that you might want to add in terms of the Auburn facility.
Sally Copland: Yeah. Thanks, Amanda. Yes, we’re incredibly excited next week, first order out. And, I think, the key thing there is, it’s going to give us 50% capacity for that Western Sydney catchment, which is incredibly important. And scaling utilization allows us actually to unlock on demand convenience back through our store network, where our stores are pretty much well served to be able to provide a direct-to-boot service and all of the on demand that we’re seeing our growth coming from as well. So, it’s a very much a network effect from that perspective. We are excited about the ability to support same day. I think 100% of the orders can go out in 24 hours and the team is really through the design and build of that site have really adapted, as you say, this facility to be able to meet the needs of our customers in a very multifaceted way. It’s going to carry about 30,000 SKUs. So we do see SKU count uplift from the range that we offer through our store network, which is critical. And importantly, improved customer experience. We know through our current manual CFCs. We can improve complete order. We can do that even more effectively through this automated facility, help you that complete order on time delivery and actually manage freshness and the cold chain for chilled product more efficiently as well. So a big win for customer experience across the board as well that we’re excited about.
Lisa Deng: So just 50% uplift to Western Sydney capacity, what about total eCom capacity and the ramp up timeline please?
Sally Copland: Sorry, just in terms for that catchment, you mean specifically?
Lisa Deng: No. I thought you said 50% capacity addition to Western Sydney, but what about our total eCom capacity?
Sally Copland: We wouldn’t have that specific number to hand. And really, Lisa, when we’re looking at our overall business, we’re looking at it from a catchment perspective. So that’s not a number that we would be looking to. Thanks.
Lisa Deng: And ramp up timeline?
Amanda Bardwell: Yeah. So we have announced we’re closing our Lidcombe facility and that was a manual CFC that allows us to pull through around 15,000 orders a week into the facility. So, we start with some really solid volume and then we’ll scale through the store network as well as I spoke to that. And we’re really hoping we will be fully online and really humming by Christmas.
Operator: Your next question comes from Michael Simotas with Jefferies. Please go ahead.
Michael Simotas: I’ve just got a couple more if I can. Thank you. The first one on the $20 million to $25 million weather related costs that you’ve called out, that seems to be a more significant impulse for you than what was described by Coles yesterday. Is there any reason why Woolworths would incur more? I do know you’ve got more regional stores or is there something specific that affected your business to a greater degree?
Stephen Harrison: I mean, Michael, I’m not sure we can comment on what our competitors said or did. But from our perspective, we’re very focused on supporting that Northern New South Wales and Queensland region through this period of disruption. And we invested a lot on additional transport. We did have 200 of our stores closed for at least 24 hours. We had eCom services out for over 5 days. In fact, we have had to close our Hervey Bay store, which is currently in the process of being rebuilt. And so, we have effectively a store write off embedded in those numbers. And so, our focus on really ensuring continuity of supply, delivering food and everyday needs into catchments in need was our number one priority, and we’re very focused on that community contribution and these are the costs attached to that.
Michael Simotas: Okay. And then the second one, just sort of following on from the conversation around value perception and Voice of Customer. Just wanted to understand the rationale for removing the 10% everyday extra discount on BIG W. The consumer reaction across social media seems to have been quite negative, which I guess isn’t surprise. Given the less frequent purchasing for BIG W, more discretionary nature, more fragmented industry, I would have thought that could have been a reasonable customer recruitment tool. So I just want to understand the thinking there.
Amanda Bardwell: Thanks, Michael. I’ll take that question. Really, firstly, we implemented the Everyday Extra subscription before we had started to really implement the lower opening price point strategy at BIG W. And so as we’ve started, we talked about earlier this morning, to really look at the BIG W business overall and how we improve the performance of the business. We’ve had to take the balanced up decision around everyday value with good quality product at opening price points and all that the investment that that takes to get right with the over and above value of subscriptions. And so a difficult call to make. Yes, I have seen a lot of the social media coverage and can appreciate customer disappointment. Importantly, the BIG W team will be providing a monthly subscriber reward, if you will, each month and it will just change. It won’t be that consistent 10% off a month. So, yeah, difficult call to make, but one is we look to overall manage the performance of the business provide great everyday value, every day of the week for BIG W, it was just one of the decisions that we’ve had to take.
Operator: Your next question comes from Tom Kierath with Barrenjoey. Please go ahead.
Tom Kierath: Thanks. I just want to follow-up on Ben’s question around the head office cost saves and the redundancy. When is the redundancies expected to finish? And when can people in head office kind of think, right, my job is safe and I’m part of the, I guess, the process in getting the brand back to where it should be?
Amanda Bardwell: Yeah, thanks for that question. And look, this is absolutely, of course, front and center on our minds as well. Look, we’re not going to comment on a call like this, to be honest, as to any of the specifics around this other than to say, we’re asking our teams to move with speed, but also care for our team as we go through this process. It is really difficult, of course, for our team. We want to be able to make sure as you alluded there in your question that our team are able to focus on the future. And so, we are moving very quickly, but we’re not putting a specific timeframe on it. And that’s because we want to be thoughtful about the way in which we’re having individual conversations with teams. We’re looking at how we truly make it easier for our teams to do their best work. And that takes time for us to really look at the design of teams, the way in which they work. And so I won’t be able to answer your specific question there. Thank you.
Tom Kierath: All right. Okay. Thanks, Amanda.
Operator: Your next question comes from Adrian Lemme with Citi. Please go ahead.
Adrian Lemme: Thank you for taking another question. Look, my deal doesn’t really get much focus on these calls. And I noticed that the GMV declined this period. I think from the half year result, you can imply that it’s losing money. So just given there’s obviously a pretty tough category catch got shutdown, because that couldn’t make it profitable. Is an exit being considered in this portfolio review? Or is it kind of still critical to what you’re doing in the marketplace space, please?
Amanda Bardwell: Yeah, thanks. So just to start with MyDeals. What MyDeals has been able to provide for us as a business is in particular some really strong capability around marketplaces. And we’re particularly pleased with the technology, but also the access to a lot of the third party products that we’ve been able to now integrate into the BIG W business and online platform. And that is performing very well for us. It’s not that we’ve talked about on this call, but the traffic that we get on BIG W is down anywhere between like $5 million and $6 million a week at least of digital traffic. And so to be able to offer both the 1P range from BIG W and also now a very extensive 3P range is one of the additional benefits of having my deals within the group. So it’s been really important from that capability perspective. And that capability is now also being integrated across our food business as well. We know that the standalone marketplaces outside of the big international players is a very challenging space. And so, again, I can only just say, Adrian, as we continue to look at our portfolio review overall across the group and the strategy for the go forward, we’ll be assessing all of our businesses, which will include, of course, every business within the group.
Adrian Lemme: Understood. Thank you.
Operator: Your next question comes from Shaun Cousins with UBS. Please go ahead.
Shaun Cousins: Thanks. Just a question on New Zealand Food. Can you just talk a bit about the progress on the rebrandings that have gone on, be it sort of sales uplift, how it’s resonating for consumers, how it improves the competitive position versus New World? And then just the impact of the implementation of the new fresh manager model, which I think what was did in Australian Food maybe in late 2019, but just curious about how that is impacting I guess Team, but also how it’s impacting the cost base there please?
Amanda Bardwell: Yeah, great, Shaun. Thank you for that. That is at least three questions I’m pretty sure. But let me just give a flyover of New Zealand and then we have got Pieter on the call today joining us from New Zealand. So Pieter, I might turn to you in a moment just to add any other color as well. So look, I think, firstly, I would just say we’re pleased with the momentum that we’re seeing in the New Zealand business. As you know, it is a very tough, highly competitive market. And so, the work that the team has been doing, particularly when it comes to fresh, we’re seeing that play through in terms of their Voice of Customer scores alongside also improving sales performance across those key fresh categories for us. The team is very focused on eCommerce as another key plank in their strategy. And again, you can see the strong increase in eCommerce sales. And then you can also see from Everyday Rewards has been incredibly successful over there. It’s 1 year on and it’s 2.1 million, I think, active members in the New Zealand market. So it’s been very well received. So, I think, from an overall perspective, the transformation is continuing there and the momentum has been positive and something for the team to continue to build on. Price is incredibly important there. As I know we’ve talked about before, there’s some very major competitors that are very strong with New World and Pak’nSave. And so, we continue to really work on our price indices in that market. And then when it comes to your additional question on op model, the team has again done a lot of work in this space and the short version of the change is to say that it’s really a shift towards from going from a department paced view of our store operating model in New Zealand to a functional view. And that enables the team to be able to actually spend more time across the store with less barriers, if you will, in terms of the departments that they work in. So it’s a much more than multi skill approach, which is actually great for team experience, great for career building, but also good for customer experience because we’re able to have more of the team spread across more broadly the aspects that need it most like replenishment and the like. But Pieter, I might just throw to you in case there’s anything else that you might want to particularly call out on New Zealand and the transformation.
Pieter de Wet: Thanks, Amanda. Yes, the only thing I’ll add Shaun is, if you look back over the last year-and-a-half, 2 years that we’ve been in this transformation, I think, we initially put a lot of effort into our pricing position and that’s now in a place where we feel much more confident around our value proposition to the consumer. And we’re seeing that in the feedback from our Voice of Customer and we’re seeing that in sales momentum and market share. And then the other piece of kind of the ticket to the game was obviously our store transformation. So it’s important to just remind ourselves it’s not just a rebrand. Even though we’re 60% through that rebrand or just over two-thirds, a number of those stores are being refurbished. Our average store age has come down quite nicely over the last 2 years. So those ticket to the game items have really got momentum. But then more importantly, the things that will differentiate us going forward, fresh and own brands really got some really incredible momentum at the moment and we’re seeing significant volume growth. You see the eCom numbers there, which is fantastic. And then loyalty is just over a year old now and even then we’ve already got 2.1 million customers on our loyalty program, which is also fantastic. So very pleased with the progress, but we’re clear that we’ve got a long way to go. Thank you.
Shaun Cousins: Fantastic. Thanks, Pieter. Thanks, Amanda.
Operator: Your next question comes from Ben Gilbert with Jarden. Please go ahead.
Ben Gilbert: Good morning. Thanks for taking the other one. Just [interested some] [ph] on pricing in Australia, I know you sort of had that reset for the first half of fiscal 2025 or this current fiscal year. Just how you’re feeling your relative pricing is in the market? Have you had to put more incremental in through this half? And how are you thinking about your pricing position moving forward?
Amanda Bardwell: Yeah, thanks for that question, Ben. And Paul, I might throw to you for any additional color. I’d just say, we continue to be very competitive on those indices against our major competitors and that’s remained relatively consistent. We have been very focused as we called out earlier on a number of customer and trade activations across the quarter, particularly as we’ve called out in those long life categories, which are incredibly important as you know. And so, you have seen a real focus from a promotional perspective there, which has created more value for customers. And Paul, I might just throw to you for any other build.
Paul Harker: Thank you, Amanda. Yes, we are extremely competitive when it comes to price and carefully managing our promotional program offers, but also making sure we do it in a way that we think will drive maximum value for Woolworths. And so, we’ve really been pleased, for example, with performance in personal care with some of the events that we’ve run in personal care, bringing great value to customers and actually that part of the store has been performing very, very well. It’s great to see the team also think more laterally around how they offer customers something different with exclusive ranges that come into our business. So that continues in personal care with the introduction of Tree Hut, which is obviously a very popular brand in the U.S. And the team being able to bring it to this market exclusively to work with the Anya Hindmarch bag as well as another point of difference. Food continues to perform well with a big brand event in diet and sport actually brought bulk protein sizes into our business and attracted new customers. But of course, there are parts of the store that are extremely competitive and the market itself is under pressure and changing with more entrants and that would be in the areas of pet and baby, and we’re very focused on making sure we have a compelling offer there.
Ben Gilbert: Perfect. Thank you.
Operator: That is all the time we have for questions today. I’ll now hand back to Ms. Bardwell for closing remarks.
Amanda Bardwell: Thank you for joining us this morning. We are encouraged by the steady customer scores that we’re receiving and the slightly improved sales momentum that gives us something really as a team to build upon. I’m very grateful for the incredible hard work of our leaders and team across Woolworths and are very much looking forward to this quarter’s trading. Thank you.
Operator: That does conclude our conference for today. Thank you for participating. You may now disconnect.